Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good day, ladies and gentlemen. Thank you for standing by. Welcome to today’s conference call to discuss LifeVantage’s Second Quarter Fiscal 2022 Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. [Operator Instructions] 00:23 Hosting today’s conference will be Reed Anderson with ICR. As a reminder, today’s conference is being recorded. 00:30 And now, I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: 00:36 Thank you. Good afternoon, and welcome to LifeVantage Corporation’s conference call to discuss results for the second quarter of fiscal 2022. On the call today from LifeVantage with prepared remarks are Steve Fife, Chief Executive Officer; and Carl Aure, Chief Financial Officer. 00:53 By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage’s website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company’s website, as well. 01:14 Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. 01:30 These statements are based on current expectations of the company’s management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage’s most recently filed Forms 10-K and 10-Q. 01:43 Please note that during today’s call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage’s ongoing results of operations, particularly when comparing underlying operating results from period to period. 02:03 We’ve included a reconciliation of these non-GAAP measures with today’s release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, February 1, 2022. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today’s release or call. 02:22 Now, I will turn the call over to Steve Fife, the Chief Executive Officer of LifeVantage.
Steve Fife: 02:28 Thanks, Reed and good afternoon, everyone. Thank you for joining us today. With me is Carl Aure, our Chief Financial Officer, who will join me with prepared remarks before we turn the call over for Q&A. 02:43 On our last earnings call, we were more optimistic about the expansion of in-person activities, news about the Omicron variant has significantly and unexpected slowed down our activities this past quarter. We expect to see improvements throughout fiscal and calendar 2022 from this point on. However, our initial expectations have been dampened somewhat. Carl will update you on our full-year outlook. 03:17 Second quarter results were lower than our expectations, largely attributable to the extended impact of COVID-related factors. Our recent Philippines launch, for example, encountered unexpected delays, which effectively pushed initial revenue into January. 03:36 While disappointing, we made further progress on several key strategic initiatives, which I'll outline in more detail. Revenues of $52.2 million were down 11.6% year-over-year and 1.9% on a sequential basis. Despite this decline, we still delivered $1.9 million of adjusted EBITDA and maintained our strong balance sheet with over $20 million of cash. 04:09 Over the past several quarters, we've been focused on three primary areas to start positioning the company for accelerating growth and significant long-term value creation. People, products, and customer experience. One of my primary focuses since becoming the CEO has been to build an executive team with the skills, passion, and vision to accelerate growth at LifeVantage. 04:36 We recently hired Julie Boyster as Chief Marketing Officer along with a new Chief Digital Officer. Both individuals bring an incredible depth of expertise that will be instrumental in driving the transformation of our business and taking it to the next level. 04:57 Julie is a strategic marketer and brand champion with a passion for growing organizations using innovative products, memorable branding, meaningful customer experiences, and data driven campaigns. 05:12 She has a proven background in direct sales having led the product marketing and digital teams for a large, privately held health and weight management company where she helped grow that organization to over $500 million in annual revenue and champion the company through a period of hyper growth and digital transformation. 05:34 Julie will oversee the product marketing, research and development, experiential marketing, creative and content teams, ensuring the team is laser focused on developing raving product fans, and building loyalty at every interaction. 05:53 Our new Chief Digital Officer has a history of leading transformational infrastructure application and information security initiatives and global technology integrations that make businesses run better, faster and safer. He thrives on building and developing teams and creating an ecosystem of vendors and suppliers that come together to drive business value and outcomes through technology. 06:23 You will oversee digital technology, backend and frontend development, quality assurance, business analysis, product management, and IT infrastructure teams. Both these individuals are highly complementary to the rest of our team, many of which also joined the company in the past year. I'm thrilled to be surrounded by such an incredible group of talented people. At the heart of every successful business are passionate people working together to create a strong effect of management team. 07:02 Now, let me provide you with the products update for the quarter. You've heard us talk about refocusing on our core product, Protandim Nrf2 over the past couple of quarters and a global convention in October, we launched product activation stacks designed to address common health concerns such as gut and immune health. At the center of each stack, is Protandim Nrf2 and the essential health benefit it delivers to anyone wanting to make improvements in their life. 07:38 At our global convention, we also launched IC Bright, a supplement packed with antioxidants, nutrients, and carotenoids validated to support buy and brain health. The holidays brought the addition of two new seasonal flavors of Axio, Spiced Plum, and Peppermint Stick. These limited time offers were paired with a number of holiday promotions, giftable packs, and merchandise. 08:06 Several sales incentives, including our ring in the New Year promotion, the December elite retreat and launch of our Croatian incentive trip also spurred excitement amongst our distributors. 08:21 Finally, we continue to focus our efforts on the customer experience across all touch points, including projects to improve the website along with the various digital brand experiences. 08:36 In October, we launched a redesign of our U.S. e-commerce site to make shopping and enrolling with LifeVantage easier than it's ever been. New Zealand site has also been updated to match the global changes. Our digital team also rolled out 120-day post purchase campaign designed to educate, edify, and encourage continued loyalty with LifeVantage and our products. 09:05 The evolution of our health and wellness platform is aimed at providing an immersive approach that puts the customer at the center surrounding them with products, people, tools, and experiences that lead to the premium satisfaction, eliminates friction and drives high level of repeat engagement. 09:30 Importantly, we're taking a holistic view that provides customers and distributors, all stakeholders with the best possible outcomes to drive consistent momentum across our health and wellness platform to keep them engaged and coming back for more. 09:52 Leaning into to Protandim Nrf2 and these key areas this past year has given us a tremendous insight into our future growth. We want to be known worldwide as a brand that delivers wellness through products that activate your body’s natural processes and empower a healthy vibrant life. 10:15 We have a strong lineup of products that have laid that foundation and will continue to be paramount as we advance innovation around our activation story. We want to be known as having the very best compensation plan that both supports thriving businesses and incentivizes distributors and customers for simply sharing the products they love. We want to impact the lives of consumers around the globe in a much broader way than we've done to date. 10:49 In addition to broad and deep experience, LifeVantage’s leadership team understands the power of our legacy and the tremendous opportunity for using technology and digital tools to amplify our message to reach a much larger addressable market. 11:08 We all share the future vision of a company whose strong foundation rooted in high quality health and wellness products coupled with a recognizable durable brand can positively impact the lives of consumers around the globe in a much broader way than it does currently. 11:29 Internally, we've been calling this an evolution towards being the end company, meaning that we want to support growth driven entrepreneurs and incentivize our most loyal customers. 11:46 From a positioning standpoint, the direct selling business has been evolving to a model that is more agile, more inclusive, and creates multiple paths to grow. Our leadership team and board are fully aligned with including this new paradigm and you will start to see us moving aggressively to improve our brand awareness with new products, go to market strategy, and incentive updates that are significantly additive to our distributors existing businesses and our overall company performance. 12:24 It's a very exciting time at LifeVantage and over the next couple of quarters, we expect to share additional details on the broader themes and tactics we'll be using to accelerate growth and reach customers worldwide. Our foundation is strong with a large established base of loyal customers and distributors. In addition, we have a solid financial position that will enable us to deploy the appropriate resources to drive for future growth. 12:56 Now, let me turn the call over to Carl Aure, our Chief Financial Officer to review our second quarter financial results.
Carl Aure: 13:06 Thank you, Steve. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. Second quarter revenue was 52.2 million, down 11.6% on a year-over-year basis and 1.9% sequentially from the first quarter. Foreign currency fluctuations negatively impacted revenue by $1 million in the second quarter. 13:34 Revenue in the Americas declined 17.1%, compared to the prior year period to 34.7 million, driven by an 11% decrease in total active accounts, reflecting ongoing challenges to hosting in-person meetings. 13:50 Revenue in our Asia Pacific and Europe region increased 2.1% to 17.5 million, aided by a 6.4% increase in total active accounts. We experienced strong double-digit growth rates in Australia, Thailand, and China. However, this was partially offset by lower revenue in Japan, which was attributable to the negative impact of foreign currency. 14:14 On a constant currency basis, revenues in Japan increased slightly by 0.1%. Gross margin was 81.5% in the second quarter, compared to 82.7% in the prior year period. The decrease in gross margin was due to increased inventory obsolescence expenses, increases in shipping and warehouse expense, along with shifts in geographic and product sales mix. 14:41 Commissions and incentive expenses in the second quarter declined 1.7 million year-over-year. As a percentage of revenue, commissions and incentive expenses rose 280 basis points versus year ago levels to 48.8%, primarily attributable to changes in the timing and magnitude of promotional and incentive programs. 15:05 Non-GAAP adjusted SG&A expense was relatively flat, up approximately 0.1 million compared to the prior year quarter. However, due to lower revenues, the adjusted SG&A expense ratio increased to 32% from 28.1%. Adjusted operating income was 0.3 million compared with 5.1 million in the prior year period. 15:29 Adjusted net income was 0.6 million or $0.05 per fully diluted share in the second quarter, compared to adjusted net income of 3.6 million or $0.25 per fully diluted share in the comparable period last year. 15:45 We recorded a tax benefit of 0.6 million in the second quarter, compared to a tax expense of 1.8 million a year earlier. The tax benefit recorded in the current quarter is primarily due to the positive impact of discrete items relating to taxes on forward income. For fiscal year 2022, we expect our effective tax rate will be approximately 22%. 16:12 Adjusted EBITDA for the second quarter was 1.9 million or 3.6% of revenues, compared to 6.7 million or 11.4% in the same period a year ago. Please note that all of the adjustments from GAAP to non-GAAP I discussed today are reconciled in our earnings press release issued this afternoon. 16:34 Despite facing unexpected challenges, we maintained our strong financial position ending the quarter with 20.2 million of cash and no debt. We also continue to maintain $5 million of availability under our revolving line of credit. 16:50 We used 3.2 million in cash during the second quarter to repurchase approximately 454,000 of common shares under our share repurchase authorization. As of December 31 2021, there remains 4.9 million available under the authorization, and we expect to continue to be active with our share repurchase efforts in the future. 17:14 Capital expenditures totaled 0.5 million in the second quarter. We anticipate total capital expenditures for fiscal 2022 to be approximately 2 million. 17:26 Turning to our fiscal 2022 outlook. Due to the lower than expected results in the second quarter, we are reducing our outlook for fiscal 2022 to the following: Revenues for fiscal 2022 are now expected to be in the range of $212 million to $220 million versus our prior guidance of $225 million to $235 million. 17:51 Adjusted non-GAAP EBITDA is expected to be in the range of $18 million to $20 million, compared to our prior guidance of $22 million to $24 million, and adjusted non-GAAP earnings are expected to be in the range of $0.67 to $0.71 per share, compared to our prior guidance of $0.83 to $0.87 per share. 18:14 And with that, I'll turn the call back to Steve.
Steve Fife: 18:17 In summary, despite unexpected challenges recently, our team remains highly energized and committed to executing on the key strategies to transform our business and reaccelerate growth. Our foundation is strong, including the unique portfolio of high quality innovative products supported by a large global base of distributors. All of which are firmly aligned with helping consumers achieve their health and wellness goals. 18:50 Finally, our financial condition is solid with a significant cash position and profitable scalable model. 19:00 So with that, we'll turn the call over to the operator to facilitate Q&A. Operator?
Operator: 19:09 Thank you. [Operator Instructions] Thank you. Our first question comes from Doug Lane of Lane Research. Please proceed with your question.
Doug Lane: 19:44 Yes, hi. Excuse me. Good afternoon everybody. Couple of numbers that stand out to me was, well the first one was the Americas region where the sales were down 17% and I know it has been weak, but that's a deceleration from recent trends, and actually I would have thought it might start heading in the other way since you're starting to have in-person interventions again. So, can you maybe put a little bit more color on what you saw during the quarter in the U.S. specifically?
Steve Fife: 20:15 Yes, Doug, this is Steve. So, I mean on a year-over-year basis, you're right, the U.S. was down. There were a few contributing factors to that. First was, just the events that we had were not nearly as effective in this most recent quarter, participation, as well as the energy coming out was down, I think the timing of Omicron and the picking up of that adversely affected us. 20:54 We also had an impact of prior year event or prior year quarter, we had fairly significant promotions that occurred during that. And it drove a much higher average revenue per account, about half of the decrease that we experienced year-over-year was because of the benefit of those promotions last year. 21:25 And then as you are aware, we've had a modest decrease in our distributor base over the last year, but a bigger decrease in our customer base. It's in part consistent with what we're seeing with others in the industry where we think the industry is trending and why we've taken some of the actions that I discuss in terms of exploring and developed bringing in some people to help us as we focus additional energy as a company on the customer acquisition and retention.
Doug Lane: 22:14 Was there any change in patterns between October, November, and December that you could notice or was it, just sort of a quarter-wide phenomenon?
Steve Fife : 22:25 It was quarter-wide, I'd say a little bit of pickup in December versus October. So, a little bit of positive movement, but it was fairly flat. The other thing is that we were – not that we strive to be flat, but relatively flat our Q1. So, there wasn't continued erosion really from Q1 to Q2.
Doug Lane: 22:58 Okay. And moving to SG&A, Carl, the good jump in the percent of sales, as you mentioned there is a decline in sales, you have a lower sales base, but I mean, is it really because there's a lot of fixed costs in SG&A or is there some component of cost inflation hitting that line at this point?
Carl Aure: 23:22 Yes, Doug. There's a couple of items that are contributing to that increase in SG&A. One of them is just relating to the increased cost of the in-person event or the hybrid component of the global convention we had in October. 23:37 Comparing that to the prior year period where it was solely an online-only or digital-only event. This one here was a hybrid event and it was an added incremental cost here in the second quarter. And then also there was some additional just other SG&A expenses, primarily in the legal area that were really a little bit higher here in this particular quarter. So, overall, those are really the two contributing factors that increase that SG&A side.
Doug Lane: 24:08 Okay. That makes sense. And then you mentioned the delaying of the opening of the Philippines, is there any way to quantify what amount of sales, kind of moved out of the December quarter and into the March quarter because of that?
Steve Fife: 24:21 Yes, there is. As far as the total sales that were deferred, it's approximately $700,000. So, there was $700,000 approximately of revenue that are – of orders that we received, that were deferred until January when the product was ultimately shipped.
Doug Lane: 24:38 Got it. Okay. That's helpful. And then help us understand with the quarter coming in, margins were lower than expected and sales were lower than expected, but really your outlook doesn't seem to have changed that much. What is your confidence that the March and June quarters can continue to perform as you thought they would, maybe three to six months ago?
Carl Aure : 25:06 Well, I think what it is Doug is, we've been putting things in place for several quarters now. Our forecast clearly anticipates some return to in-person meetings and us building off of the activities that are taking place by distributor-led activities. 25:35 We also have put in place a new promotion that actually kicks off today that is focused on business building activities, and it's been received well by many of our distributors. And so, we're cautiously optimistic that that's going to drive return. 26:03 We also believe that the reception that we've had in the Philippines has been very positive and despite some hiccups in getting less clearance for our ability to import products, those distributors have stayed with us, they've now all received products and I anticipate that we'll see fairly significant growth in Philippines during the second half of our year.
Doug Lane: 26:41 Okay, that's helpful. Thank you.
Steve Fife: 26:44 Thanks, Doug.
Operator: 26:48 Thank you. Our next question is from Jim Galloway, Private Investor. Please proceed with your question.
Unidentified Analyst: 26:54 Thank you. It seems like the corporate staff is well organized and qualified. What used to happen in the past, to generate good sales and momentum with a charismatic group of [Pro 10 leaders] [ph], can you give me a recap of how many Pro 10 in the United States we have that are actively working the business and some of the different events that they're doing please?
Carl Aure : 27:23 Yes. Jim thanks. We do have a group of our top leaders, distributor leaders in the company. I would say that they are all engaged and being engaged as a Pro 10 is different than someone who is new to the business. They are active in mentoring people in their – not only in their organization, but also across the company, many of these individuals are leading trainings on a monthly basis. We call them LifeVantage Academies. They're out on the road with groups of individuals, training them. 28:19 They have – they are very active, [coaching calls] [ph] throughout the week. So, we've got a cohesive group of leaders that care deeply and are passionate about LifeVantage and our products. And what we have to offer the billions of people that haven’t heard about LifeVantage yet.
Unidentified Analyst: 28:45 Can you quantify that number of Pro 10’s that's beating the bushes out there and [drumming up] [ph] business, please?
Carl Aure : 28:53 Yes. We have not disclosed that. That's not something that we disclose in on our public records.
Unidentified Analyst: 28:59 We used to list that all the time.
Carl Aure : 29:03 Well, we haven't since I have been here. I don't know what happened before, but that's not disclosed in our public records.
Unidentified Analyst: 29:14 Okay. Well, thank you.
Carl Aure: 29:15 All right. Thanks Jim.
Steve Fife: 29:16 Yes. Thank you.
Operator: 29:19 Thank you. There are no further questions at this time. I would like to turn the floor back over to Steven Fife for any closing comments.
Steve Fife: 29:27 Thanks Paul, and thanks for joining us today. In closing, I want to take the opportunity to thank all of our employees for their hard work, and dedication, as well as our outstanding team of distributors and loyal customers. We remain confident in our business model and are focused on delivering the LifeVantage products our customers depend on. We hope you are all safe and healthy and look forward to updating you on our next call. Have a great day.
Operator: 29:59 This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.